Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the IonQ First Quarter 2024 Earnings Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Jordan Shapiro, Vice President, Financial Planning and Analysis, Head of Investor Relations. Thank you. You may begin. 
Jordan Shapiro: Good afternoon, everyone. And welcome to IonQâ€™s first quarter 2024 earnings call. My name is Jordan Shapiro, and Iâ€™m the Vice President of Financial Planning and Analysis and Head of Investor Relations here at IonQ. Iâ€™m pleased to be joined on todayâ€™s call by Peter Chapman, IonQâ€™s President and Chief Executive Officer; Thomas Kramer, our Chief Financial Officer; and Dr. Dean Kassmann, our Vice President of Engineering. By now, everyone should have access to the companyâ€™s first quarter 2024 earnings press release issued this afternoon, which is available on the Investor Relations section of our website at investors.ionq.com. Please note that on todayâ€™s call, management will refer to adjusted EBITDA, which is a non-GAAP financial measure. While the company believes this non-GAAP financial measure provides useful advice for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. We are directed to our press release for a reconciliation of adjusted EBITDA to its closest comparable GAAP measure. During the call, we will discuss our business outlook and make forward-looking statements. These comments are based on our beliefs as of today. Actual events or results could differ materially from the outlook and other forward-looking statements due to a number of risks and uncertainties, including those mentioned in our 10-Q filing with the SEC this week. We undertake no obligation to revise any statements to reflect changes that occur after this call, except as required by law. Now, I will turn it over to Peter Chapman, President and CEO of IonQ. Peter? 
Peter Chapman: Thanks, Jordan, and thanks again to everyone for joining us today. I am very pleased with our results for this quarter. There was a lot to discuss during our call, but the four key takeaways are as follows. IonQ started 2024 by exceeding the high end of our revenue guidance range. Specifically, we delivered $7.6 million in revenue relative to our range of $6.5 million to $7.5 million that we discussed in our most recent call. With the U.S. federal budget passed and continued interest from customers in quantum computing and quantum networking, we are raising our bookings guidance for the year. We booked $250,000 in the first quarter and our current pipeline is stronger than ever. Between our work with customers and our internal research, IonQ is making serious headway towards identifying the first potential production applications of quantum computing. IonQ operations continue to gain momentum. Our Seattle manufacturing facility is now fully operational and we are already building the first production IonQ Forte Enterprise system that has been sold to a customer. Meanwhile, between new Board members, executives and team members, IonQ continues to hire the leading minds in the quantum computing space. Letâ€™s walk through each area in more detail. First on revenue, IonQ has continued to outperform financially, exceeding the high end of revenue guidance range by bringing in $7.6 million last quarter. This marks the 10th quarter that we have outperformed our quarterly revenue midpoint since going public in 2021. We attribute this beat to outstanding execution by our technical delivery team, which has allowed us to accelerate the progress on deliverables towards our contracts. Given that these great results reflect the acceleration of existing contracts we are maintaining our full year revenue guidance. We remain highly confident in our revenue performance and weâ€™ll continue to update the market on our full year outlook during our quarterly earnings call. In our last call, we mentioned that our bookings guidance was impacted due to the uncertainty around the approval of the U.S. 2024 federal budget. With that risk now passed, we believe that weâ€™ve identified in excess of $50 million of federal opportunities in 2024 not related to system sales. And on the system sales side, we are currently planning to build five Forte Enterprise Systems in this production run. One of the five has already been sold to QuantumBasel. We are in various stages of engagement for the remaining four. After this Forte Enterprise production run, we plan to swiftly turn our attention to manufacturing Tempos, the first of which has also been sold to QuantumBasel. Our sales pipeline is expanding significantly across multiple countries, government agencies and industries, and is at an all-time high, giving us even more confidence in IonQâ€™s near- and medium-term financial prospects and growth trajectory. All of this leads us to raise our bookings guidance for the year to a range of $75 million to $95 million. We are excited at this prospect of achieving that unprecedented level of sales. Next, for our third topic, I wanted to shed some light on why there are divergent points of view in the question of when quantum computing will take off. There is one camp within the quantum industry who believes that fault-tolerant quantum computing and millions of qubits are required, and by extension, still years away. Our opinion, and that of others, is that within the NISQ era, applications can be found that can provide commercial advantage in large markets. We have had our application team looking at applications that will run on our near-term next-generation systems that meet that requirement. We now have several application areas that look extremely promising. These applications, if we are able to achieve them, have the potential to be game changers in their respective markets. This has been the allure of quantum from its inception. One in particular that I am personally excited by is the pharmaceutical space, an industry with the ability to change lives for the better for everyone. Earlier today, I published my yearly letter to shareholders, which I hope youâ€™ll take a few minutes to review on the IonQ blog. The letter also discusses commercial advantage, the term we use to describe our goal of building and enabling production-ready applications for quantum computing. Commercial advantage is defined through the eyes of our customers and their preference to choose a quantum-based solution over any other alternative. This is about the practical results that all of our research and development unlocks and being laser-focused on building systems that are purchased by customers to deliver real-world commercial value. We were excited to have Dr. Martin Roetteler, our new Head of Applications join IonQ in March. Martin spent the last 10 years as a leader of Microsoft Quantum Application efforts. With Martinâ€™s leadership and our deep bench of applications talent, we believe the future looks bright for IonQ, delivering commercial advantage to our customers. Lastly, I want to spend a few minutes sharing some of our corporate announcements that continue to inspire confidence in IonQ for myself and our team. The first is that weâ€™re fully delivering on the promise of our Seattle manufacturing facility. The facility is up and running and weâ€™re currently manufacturing our first IonQ Forte enterprise system that will get shipped to a customer. At the same time, weâ€™re standing up additional infrastructure to manufacture more IonQ systems at scale and are leveraging the facility for cutting-edge research and development as well. We now have nearly 100 employees located in the Seattle area. Meanwhile, we have almost completed construction of our new data center in Basel, Switzerland, which you may remember is key to our delivery on our $28 million QuantumBasel contract that we signed last year. We have IonQ team members on the ground in Switzerland and already assembling components for our first system in this new IonQ Europe data center. That facility will be key for servicing our growing EMEA customer base. While our headquarters in College Park, Maryland and the ecosystem weâ€™ve helped build in the greater DC area remain our commercial and technological epicenter, we are very happy with the companyâ€™s progress on national and international expansion. We are also strengthening our ranks at IonQ. You may remember that we announced in the first quarter, the addition of two new industry export Board members, Robert Cardillo, the former Director of the National Geospatial Intelligence Agency under President Obama; and Bill Scannell, President of Global Sales and Customer Operations at Dell Technologies, where he oversees 24,000 sales team members. More recently, we announced the addition of our new Chief Legal Officer and Corporate Secretary, Stacey Giamalis. Stacey has served as the Chief Legal Counsel of six companies in a variety of technology sectors over the last two decades. She has an extensive track record and deep understanding of the legal aspects of the technology sector, making her the ideal candidate to help scale IonQâ€™s operations. And with that, Iâ€™d like to turn the call over to Thomas for more detailed review of the financials. Thomas? 
Thomas Kramer: Thank you, Peter. Letâ€™s walk through this quarterâ€™s financial results in more detail. As a reminder, we prioritize our go-to-market efforts on selling large, meaningful contracts with customers that understand the potential for quantum and are willing to make sizable commitments today to secure the access to our systems. As a side effect, and as we have mentioned in every prior earnings call, given the large size of the contracts we are selling, we expect sales to be lumpy. In other words, it is difficult to predict quarter-to-quarter or even some cases year-to-year exactly when a particular sale will materialize. The first quarter was such a case, with IonQ having booked $250,000. Our confidence is nevertheless very strong that we will meet our bookings goals for the year. As Peter mentioned, we had a strong revenue quarter, recognizing $7.6 million, which is above the high end of the range we previously provided. This over-performance was primarily due to our ability to make more progress than previously anticipated on some of our contracts that use percentage-of-completion revenue recognition. Moving down the income statement for Q1 2024, our total operating costs and expenses for the first quarter were $60.5 million, up 87% from $32.3 million in the prior year period, but within our plan for the year. To break this down further, our research and development costs for the first quarter were $32.4 million, up 99% from $16.2 million in the prior year period. Recall that we are investing heavily in R&D and that given anticipated demand, are building more systems than previously projected this year. Our sales and marketing costs in the first quarter were $6.7 million, up 151% from $2.7 million in the prior year period. This increase was due to us growing both our marketing and our sales teams as we continued investing into our commercial efforts. Our general and administrative costs in the first quarter were $14 million, up 33% from $10.6 million in the prior year period. These increases were primarily driven by an increase of $3.7 million in payroll-related expenses. All of this resulted in a net loss of $39.6 million in the first quarter, compared to $27.4 million in the prior year period. These results include a non-cash gain of $8.6 million for the first quarter related to the fair value of our warrant liabilities. They also include growth in stock-based compensation expense related to our headcount growth, which was $22.1 million for the first quarter, compared to $10.3 million in the prior year period. We saw an adjusted EBITDA loss for the first quarter of $27 million, compared to a $15.9 million loss in the prior year period. We project an adjusted EBITDA loss for the year of $110.5 million. Turning now to our balance sheet, cash, cash equivalents and investments as of March 31, 2024 were $434.4 million. We continue to believe this cash position is the strongest of any publicly traded company focused exclusively on full-stack quantum. Now, turning to our financial outlook, we are pleased to announce that we will be raising our 2024 bookings guidance to between $75 million and $95 million, reflecting a larger pipeline and increased confidence in the close and timing of certain deals. We are maintaining our revenue guidance for the full year 2024 and we currently expect revenue for the second quarter of between $7.6 million and $9.2 million. I want to echo Peterâ€™s earlier comment about the cadence of our new contract bookings, with the majority of each falling into the back half of the year, considering the end of the United States governmentâ€™s fiscal year in September. Back to you, Peter. 
Peter Chapman: Thank you, Thomas. In summary, we are very pleased with our progress in the first quarter. Our outperformance on revenue and increased confidence on our 2024 bookings pipeline are both promising for IAQâ€™s financial performance this year. Meanwhile, we are delighted to have a clear line of sight to commercial advantage applications. We have launched the production facilities and hired a deep bench of team members that will allow IonQ to continue our path of leadership as we commercialize quantum. And with that, Iâ€™d like to have the Operator open the line for questions. 
Operator: [Operator Instructions] Our first question is from Quinn Bolton with Needham & Company. 
Quinn Bolton: Congratulations on the continued technical and financial milestones. I guess, I wanted to follow up on the confidence around increasing your bookings guidance to $75 million to $95 million from $70 million to $90 million last quarter. Obviously, it sounds like you guys have a better line of sight to when some of these contracts may close. But if thereâ€™s any further insight you can give us on your level of confidence in some of these bigger deals, that would be great? And then Iâ€™ve got a follow-up question for you. 
Peter Chapman: Yeah. I can take that one. Yes. Itâ€™s -- if you look compared this time versus last year, the -- if we looked at top of the funnel, that has increased significantly. And in addition, weâ€™re in various stages of contracts and so that gives us engagements -- that give us confidence in kind of being able to get to these numbers. So having the federal budget approved was certainly one portion of that that gave us more confidence. But as you know, and if -- it ainâ€™t over until itâ€™s over, until you actually get a final signature on a contract. So weâ€™ve gone through and waited as we do normally, take kind of the funnel and wait the opportunities and what we think is likely to happen and give them a waiting, and thatâ€™s how we come to the number. So weâ€™re feeling more confident about the year than even just 90 days ago. 
Quinn Bolton: Perfect. The second question I have is, Peter, in your script, you mentioned after the budget was approved having identified $50 million of new opportunities not related to hardware sales, wondering if you could just, again, expand on some of those opportunities. Are they contracts, are they programs? What types of opportunities do you see? And then, I guess, do any of that $50 million play into your bookings, your higher bookings guidance for 2024? Thank you. 
Peter Chapman: So these are -- weâ€™ve talked in the past about selling, for instance, one system over the next 18 months, if you remember. So these $50 million is not related to system sales, but they are related in quantum. And so, but itâ€™s not -- we kind of wanted to separate out the opportunity of system versus non-system sales. So thatâ€™s really what it is. And so, and those contracts usually are back loaded towards the end of the year, because thatâ€™s just the way the government works. So we would expect to see them later this year and I think thatâ€™s -- thereâ€™s not much else to it. 
Thomas Kramer: Yeah. Maybe further clarify is that this, this $50 million on a probability-weighted view is included into the guidance number. 
Peter Chapman: Correct. 
Quinn Bolton: And -- but just -- are these sort of like DARPA or government funded programs to investigate or advance certain applications within quantum? Is that the sort of, itâ€™s non-system? So just trying to get some sense, are they more sort of programs to develop applications or software or things that are not hardware related? Is that the best way to think about them? 
Peter Chapman: Itâ€™s -- weâ€™re not -- we donâ€™t want to break out kind of guidance by different segments, but these are other kinds of pieces of hardware which are needed in the quantum ecosystem. So -- and of course there will be a software component to it as well, that -- all the hardware has some sort of software that goes with it. 
Quinn Bolton: So maybe hardware components, but not full system sales. It may be software. So youâ€™re just trying to make the distinction. Itâ€™s not a complete quantum system like the AFRL or the QuantumBasel deals? 
Peter Chapman: Thatâ€™s exactly it. Yeah. 
Operator: Our next question is from Shadi Mitwalli with Craig-Hallum. 
Shadi Mitwalli: This is Shadi Mitwalli on for Richard Shannon. I have a two-part question here. Starting off with quantum networking, what is IonQ seeing in the market for quantum networking versus computing in the near-term? And then do you expect anything material from quantum networking in bookings this year? 
Peter Chapman: The answer is that networking seems to be quite strong, going alongside with the system sales and these things are complementary, because next-generation quantum computers are going to be networked together to be able to build larger and larger quantum computers. The other piece is, which is kind of new to us, is the quantum communication side and that is also using kind of our base technology set. So, we see quite a bit of interest in the networking side. So youâ€™ll be hearing more and more about that and it is included in our bookings guidance, the networking portion. 
Shadi Mitwalli: And then I just got a follow up on something that was mentioned last quarter in regards to reducing the time and cost of building a quantum computer. Are you able to give some more color on how that will be achieved and is this something external more supply chain or something done more internally? 
Peter Chapman: Itâ€™s a little of both. One is making the systems themselves more manufacturable, wherever we can, can we sub it out to a contract manufacturer to build a subassembly for us? So that is kind of the ongoing process, which is going to happen over the next couple of generations. And in addition, itâ€™s just purely process inside. We have a group of people who are 100% focused on assembling quantum computers, and so theyâ€™re not being -- their time is not being interrupted by kind of having to think about building next generation systems. So weâ€™ve kind of separated out on the workforce basis. One group, which is, does nothing but assemble quantum computers. And another group, which is working on engineering and R&D. And simple things like, getting the process repeatable. And of course, as you, in the past we might have built one or two systems in a generation. Now as you just heard, weâ€™re building five in Forte Enterprise. And as you would expect, by the time you get to the fifth one, youâ€™ve gotten better at it and itâ€™s just getting faster. So, weâ€™re not quite yet to the Henry Ford assembly line for quantum computers just yet, but thatâ€™s where weâ€™re trying to hit. 
Operator: Our next question is from David Williams with Benchmark. 
David Williams: I guess first, Peter, just thinking about the five Forte Systems that youâ€™re building in Seattle, clearly youâ€™ve got a lot of confidence if youâ€™re going to go and build these systems maybe ahead of the contract. So I guess if you were going to candy cap or qualify, how youâ€™re thinking about your contracts and your bookings here, given the investment in those five Forte machines, how would you rank that in terms of maybe where you were 90 days ago? I know itâ€™s clearly more confident, but it feels maybe more solidified given youâ€™re moving forward with building those? 
Peter Chapman: Yeah. No. Youâ€™re 100% right. The things are not, the parts themselves are not cheap. So you wouldnâ€™t go out and make the expense unless you thought you could sell them, and at the same time, these are big ticket sales. So, predicting exactly which quarter or something it will appear in is always risky. So obviously over some reasonable period of time, we do think that we have a pretty good shot of selling the remaining four, right? Weâ€™ve already sold one. So itâ€™s the remaining four. 
David Williams: Thanks for the color there. And then maybe just secondly, you talked about some new application areas that youâ€™re particularly excited about and you gave an example of pharmaceuticals. Can you maybe talk through some of the other areas of where you think thereâ€™s some really great opportunity and maybe where youâ€™re most excited? 
Peter Chapman: So, some of the things which weâ€™ve already kind of signposted, which is obviously quantum machine learning, is something that we continue to believe will be one of the first applications. Pharmaceuticals in particular, weâ€™re very excited about. Thereâ€™s been a lot of recent work at IonQ and others in terms of making progress on being able to simulate chemistry. So, weâ€™re excited about that work. Optimization is always a sweet spot for quantum. So that would be as well. And then, the last one, which is probably at the moment, maybe the highest speculative one, which would be strong AI or AI in the more like ChatGPT or better sense. So Iâ€™m trying to separate out ML from AI. 
Kevin Garrigan: Let me echo my congrats on all the progress. Iâ€™m just wondering if you can give us some color on commercial and enterprise customer adoption for quantum computing. Are any of those types of customers seeing sales expansion in your pipeline as well? 
Peter Chapman: I think, all across the Board in quantum, if you look kind of whatâ€™s going on, regionally within the United States and across the world, thereâ€™s quite a bit of an investment available and interest in systems, and if nothing, that seems to be heating up. So itâ€™s certainly a good time to be in quantum at the moment. 
Kevin Garrigan: No. I definitely agree with that. Okay. Perfect. And just as a quick follow up kind of going off of Quinnâ€™s question on the $50 million regarding the government opportunities, are these kind of new opportunities or projects that the government, are they starting to figure out how to use quantum computers or are they kind of geared more towards the current computers that the government has just kind of arenâ€™t good enough to perform the application that theyâ€™re -- that they want. So theyâ€™re looking to switch to something better such as quantum computing? 
Peter Chapman: I think increasingly -- itâ€™s increasingly lots of people, not just, IonQ has thought this for quite a long time, but itâ€™s just -- weâ€™re starting to see people start to say, hey, actually this quantum thing actually might be real. And so, thereâ€™s -- there even the naysayers are actually coming out now and saying, hey, we actually might have useful quantum computing in the near future. And that obviously spreads into the government as well. And so -- and Iâ€™m just talking about it broadly across the entire industry. So, thereâ€™s been lots of work on recently on fault tolerance is an example that gives people confidence about quantum in general. So, if you were to go back, itâ€™s just funny to go back five years, Iâ€™ve been at the company five years, five years ago, people said, oh, you donâ€™t even know you could build a quantum computer. And then it was, oh, youâ€™ll never be able to build a quantum computer with fault tolerance and now weâ€™re getting to the point where itâ€™s like, oh, that actually looks like that might be reasonable. So weâ€™re making progress. Itâ€™s a slow -- itâ€™s a bit of a slow process, but weâ€™re getting there. 
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back to Peter Chapman for closing remarks. 
Peter Chapman: I want to thank everyone for joining us today and all the questions. Finally, I want to thank the entire IonQ team for the continued diligent work that allowed us to achieve everything we have so far and everything we look forward to in the future. Thanks again, everyone. 
Operator: This concludes todayâ€™s conference. Thank you for your participation. You may disconnect your lines at this time.